Executives: Reed Nolte - Senior Vice President of Investor Relations David F. DeVoe - Executive Director Chase Carey - President, Chief Operating Officer, Director, President of The Media & Entertainment Arm and Chief Operating Officer of The Media & Entertainment Arm James Rupert Murdoch - Deputy Chief Operating Officer, Director, Chairman of News International and Chief Executive Officer News International
Analysts: Michael Nathanson - Nomura Securities Co. Ltd., Research Division Jessica Reif Cohen - BofA Merrill Lynch, Research Division Douglas D. Mitchelson - Deutsche Bank AG, Research Division Benjamin Swinburne - Morgan Stanley, Research Division David Bank - RBC Capital Markets, LLC, Research Division Richard Greenfield - BTIG, LLC, Research Division Todd Juenger - Sanford C. Bernstein & Co., LLC., Research Division Marci Ryvicker - Wells Fargo Securities, LLC, Research Division Barton E. Crockett - Lazard Capital Markets LLC, Research Division Adam Alexander - Goldman Sachs Group Inc., Research Division Tim Nollen - Macquarie Research
Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Third Quarter 2013 Earnings Release. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the conference over to your host, Reed Nolte, Senior Vice President, Investor Relations, News Corporation. Please go ahead, sir.
Reed Nolte: Thank you very much, operator. Hello, everyone, and welcome to our third quarter fiscal 2013 earnings conference call. On the call today are Chase Carey, President and Chief Operating Officer; James Murdoch, Deputy Chief Operating Officer; and Dave DeVoe, our Chief Financial Officer. First, we will give some prepared remarks on the most recent quarter, then we'll be happy to take questions from the investment community. This call may include certain forward-looking information with respect to News Corporation's business and strategy. Actual results could differ materially from what is said. News Corporation's Form 10-Q for the 3 months ended March 31, 2013, identifies risks and uncertainties that could cause actual results to differ, and these statements are qualified by the cautionary statements contained in such filings. Additionally, this call will include certain non-GAAP financial measurements, the definition of and the reconciliation of such measures can be found on our earnings release and our 10-Q filing. Finally, please note that certain financial measures used in this call, such as segment operating income, adjusted segment operating income and adjusted EPS are expressed on a non-GAAP basis. The GAAP to non-GAAP reconciliation of these non-GAAP measures is included in our earnings release. And with that, I'll turn it over to Dave.
David F. DeVoe: Reed, thank you, and good afternoon, everybody. As you all have seen in today's earnings release, our third quarter reflected continued solid growth in our Cable Networks, retrans-led growth at our Television station and increased earnings at Filmed Entertainment. Higher earnings contributions from these segments were partially offset by declines in the Publishing, DBS and other segments. The current quarter's operating income result also includes $25 million in cost related to the proposed separation of the company's Entertainment and Publishing businesses and a $42 million charge related to the ongoing investigation in the United Kingdom, as compared to a $63 million charge in the third quarter a year ago. Excluding these charges from both years, third quarter adjusted segment operating income of $1.43 billion increased 4% from the year-ago adjusted result of $1.38 billion. Third quarter reported revenues were up 14%, led by strong Cable Networks and Filmed Entertainment growth, which were both up 17% compared to the third quarter a year ago. Partially offsetting these revenue increases were mid- to low-single digit declines in Publishing and at SKY Italia. Additionally, this quarter's result includes the consolidation of Sky Deutschland and Fox Sports Australia, which contributed approximately $540 million in revenue this quarter. Our share reported results from our equity earnings and affiliates was $47 million lower than a year ago. While this decrease primarily reflects this quarter's reduced gain from participation in BSkyB's share repurchase program, partially offset by the absence of Sky Deutschland's losses, this business is now consolidated. Also included in this quarter's result is $2.4 billion of income in other net, which is primarily from noncash gains related to our acquisition of the consolidated ownership stake in Sky Deutschland and the sale of our ownership position in SKY Networks Television in New Zealand. These gains were partially offset by $56 million of pretax restructuring charges. Reported net income in the quarter was $2.85 billion, with reported earnings per share of $1.22 as compared to reported earnings per share a year ago of $0.38. Excluding the net income effect in both years and onetime gains, primarily consisting of the items I just highlighted, third quarter adjusted earnings per share this year are $0.36, slightly below the year-ago adjusted result of $0.37, and this reflects this year's higher adjusted effective tax rate. Our press release includes a reconciliation of our GAAP results to these amounts. And with that, I'd like to now provide some additional context on the performance at just a few of our businesses. I'd like to begin with the Cable Networks. This segment continues to drive overall company results, generating about 70% of News Corporation's total segment operating income. Third quarter segment results were driven by strong revenue growth, reflecting organic, domestic and international channel strength, as well as the inclusion of new international sports networks in Europe and Asia. Operating income at the segment grew 17% over year-ago levels, with domestic channels up 16% and international channels up 21%. Reported affiliate fees at the Cable Networks increased 18% over year-ago levels. Domestic affiliate revenues increased 11% over last year, with double-digit growth at all principal domestic channels. While reported international affiliate fees were up 42%, this growth was 25% after factoring out the effects of new sports channel and foreign-exchange, reflecting strong local currency organic growth, both at the Fox International Channels and at STAR. Third quarter advertising for the segment were up 12% over year-ago levels, with domestic ad growth of 2% and reported international ad increases of 30%. On the domestic channels, double-digit growth at the FX Networks and National Geographic channels were partially offset by lower advertising revenues at the Fox News Channel due to the absence of the presidential primary, which occurred on the prior year, and at the RSN, due to fewer games -- fewer NBA games. At our international channels, local currency organic advertising growth was approximately 20%, when excluding the new sports channel and foreign-exchange impact. Total Cable segment expenses increased 17% over the third quarter a year ago, with over 2/3 of these increase attributable to the new international sports networks, including the investments in BCCI cricket rights in India and expenses associated with consolidation of the Fox Star Sports Asia and EMM networks. The rest of the increase reflects higher programming and marketing costs to FX Networks and National Geographic channels, reduced by lower NBA rights cost at the RSNs, resulting from broadcast of fewer games, which is a result of the lockout -- the NBA lockout a year ago. At our Television segment, operating income in the quarter of $196 million increased 15% versus the third quarter a year ago due to a near-doubling of retransmission revenues and lower programming expenses at Fox Broadcasting Company. These improvements were partially offset by lower advertising revenues, due principally to weaker primetime ratings of American Idol. At our Film segment, third quarter operating income was $289 million, which is 6% ahead of the year-ago result. These contributions include the successful worldwide theatrical and domestic home entertainment performance of Life of Pi and the successful worldwide home entertainment performance of Taken 2 and Ice Age: Continental Drift, partially offset by higher releasing cost, primarily from the successful release of The Croods for DreamWorks Animation. Our DBS segment reported a loss of $11 million in the quarter, reflecting the first time consolidation of Sky Deutschland -- Sky Deutschland's results and lower profit contributions generated by SKY Italia. Our results reflect the inclusion of $410 million in Sky Deutschland revenues. Sky D reported ARPU gains of 4% and year-over-year subscriber increase of 320,000. We are highly confident with the local management's plan to continue to grow this business with a strong content and service offering and an underpenetrated premium pay-TV market in Germany. Lower profit contributions of SKY Italia is primarily a result of challenging economic environment in Italy. It continues to negatively affect subscriber additions, with SKY reporting a net loss of 51,000 subscribers in the quarter. Local currency revenues were down 2% compared to the third quarter a year ago with a slight increase in ARPU being offset by the reduced subscriber base. In our Publishing segment, operating income of $85 million decreased $45 million compared to a year ago. These results primarily reflect lower advertising revenues at the Australian newspapers and Integrated Marketing Service businesses that more than offset higher U.K. newspaper contributions, which benefited from reduced marketing and reduced production costs. In Other segment, we reported a third quarter segment operating loss of $190 million. This is $43 million higher from the $147 million loss reported in the same period a year ago. This loss includes higher development costs at the company's education business, $42 million of costs related to the ongoing investigation in the United Kingdom and $25 million of costs related to the proposed separation. These costs were partially offset by higher profits in REA. Before I turn to guidance, let me comment on our buyback program. As you have seen, we have continued to purchase shares while we work through the details of the separation process. And through May 7, we have spent approximately $1.972 billion, repurchasing approximately 79 million shares during this fiscal year. While this pacing is a little slower than originally anticipated, we still intend to complete the full $10 billion authorized program in a timely manner. And finally, let me address our guidance for fiscal 2013 total segment operating income. And as a reminder, we measure this guidance excluding from fiscal 2012, the $224 million in charges related to the ongoing investigation in the United Kingdom, resulting in a base of $5.6 billion in segment operating income for comparative purposes. Since our last call we did 3 months ago, we've updated our operational assumptions to reflect our third quarter performance and our outlook for the remainder of our fiscal year. After excluding the full year effect of the United Kingdom investigation costs and separation costs, and based on all the assumptions inherent in our projections, we expect that our total segment operating income percentage growth rate for fiscal 2013 will continue to be in the mid- to high-single digit range, above the $5.6 billion fiscal 2012 segment operating income base. Before turning the call over to Chase, I'd like to give you a brief update on our plan to separate our Publishing and Media and Entertainment businesses into 2 distinct, publicly traded companies. Early last week we filed our proxy, setting the date of June 11 for a special meeting of stockholders to approve amendments to our charter. These amendments are required to enable us to complete the proposed separation. At this time, we are on plan for the separation to be completed around the end of the current fiscal year. And with that, I'd like to turn the call over to Chase.
Chase Carey: Thanks, Dave. In addition to the solid earnings Dave just ran through, we also made substantial progress in the quarter. Our top priority is to complete the separation, which as Dave just said, is on track to be completed around the end of June. We continue to believe that the separation will enhance management focus and align it with our investors while unlocking the true value of our assets. We plan to provide additional detail on both businesses, the new News Corp. and 21st Century Fox, will host -- each host their own Investor Day to help inform investors on their respective operations, strategies and outlooks. New News Corp. will hold its Investor Day in the afternoon of May 28 in New York and June 5 in Australia. 21st Century Fox's Investor Day will take place in early August following our year-end earnings. While the separation is our top priority, we also continued to streamline our operations by reducing nonstrategic minority stakes. This last quarter, we sold our 44% stake in SKY New Zealand for about $670 million. We also reduced our stake in Phoenix Satellite Television in Hong Kong, raising another $92 million. In addition, we took the opportunity to consolidate a previous equity investment at Sky Deutschland by subscribing for additional shares. We're excited about the long-term prospects of this business in Europe's largest market with close to 40 million TV households. In the most recent quarter, Sky D added 42,000 net new subscribers for current total subs of more than 3.4 million. In addition, March quarter revenues were up 14% year-on-year and the quarter's EBITDA was positive. Another important priority for us is to build businesses that capitalize and leverage our existing assets and leadership position, both domestically and internationally. This last quarter, we announced the upcoming launches of 2 exciting new Cable opportunities, Fox Sports 1 and FXX, as well as new international launches. In many ways, sports has been a driving force our entire channels business. Fox Sports 1 will add a new dimension to our sports business, which largely exists today on our broadcast network and regional sports networks. At this point, it's only natural to leverage our sports franchise, our distribution, our relationships with viewers and advertisers and our expertise of developing an exciting new sports offering with significant value opportunity and relatively low risk. In September, we will launch FXX, an extension of successful FX Network targeting slightly younger 18 to 34 demographics. FXX will leverage the stellar job FX has done, carving out a position at the top of the pyramid of entertainment networks. We expect the launch of FXX to add new dimensions to the future value of the FX family of channels. We are also continuing to build or expand our cable franchises abroad. Our full ownership of Fox Star Sports in Asia, along with the recently acquired BCCI cricket rights in India, together will help us ramp up earnings from those markets over the next 5 to 10 years. We also recently launched Fox Sports Japan. These initiatives will require short-term investments. We expect to be able to make these investments and still maintain solid short-term growth. As we've stated before, our overall goal is to build long-term value in cash flow while delivering short-term profit growth that reflects a combination of strength in core operations, while observing the costs associated with new growth initiatives. We expect these initiatives to enable us to create new businesses that will generate annual profit in excess of the initial cost in 3 to 5 years with asset value worth multiples of that. A third priority for us is to continue investing in valuable content that head into the value chain. We've clearly been very successful in developing new content in our movie and TV studios as demonstrated by our Film segment profit and at our Cable Networks. The momentum in those businesses continues. Our summer film slate is well positioned with Epic, The Internship, The Heat and Wolverine in the next few months, not to mention our next DreamWorks film following on The Croods. In Television, we're looking forward to the network upfront next week with a great set of pilots, as well as exciting new cable series like The Bridge, Tyrant and Fargo. There are no such -- there are no sure things in the creative businesses, but we feel great about the strength of these operations. In our Networks group, National Geographic, broke a number of viewership records with its first ever original factual drama, Kelly Lincoln in February, and as well as the exciting launch of its new series Brain Games in April, a great sign of things to come on the program front of that channel. And finally, FX, January was the highest rating month in the network's 18-year history, thanks to very strong premiere numbers for The Americans, as well as the season finale of American Horror Story and strong performances from Justified and Archer. However, we're clearly disappointed with season's ratings at the FOX broadcast network and are taking steps now to improve next season's lineup. We are looking forward to prudent creative risks that offer audiences fresh and engaging entertainment. We look forward to sharing our new lineup of shows next week at the FOX upfront. In addition to reinvigorating our traditional Television businesses, we believe it's essential to continue embracing new digital technologies in a way that expands revenue windows while supporting the pay-TV business model. We've seen stabilization of home entertainment revenues with the emergence and acceptance of new digital formats and these formats are poised to grow the business over the next few years. We're also seeing progress in the build-out of authenticated TV Everywhere services by the pay-TV operators, and these services have become an integral part of recent contracts with pay-TV providers and rights dealers. Our recent agreement with Comcast is an excellent example of our commitment to work with our partners to deliver the best TV content to viewers when and where they want it. Finally, we continue to improve the efficiency of our balance sheet. Although we have continued to repurchase our stock over the course of this fiscal year and remain fully committed to the buyback, we determined that it was more appropriate to complete the repurchase after the separation. In closing, we believe we're in a incredibly strong position in multiple fronts. We will look forward to the many benefits the separation will afford us as we head towards the planned completion in just a couple of months. Thank you.
Reed Nolte: And now, operator, we'd like to have Chase, James and Dave take questions from the investment community.
Operator: [Operator Instructions] The question comes from the line of Michael Nathanson of Nomura Securities.
Michael Nathanson - Nomura Securities Co. Ltd., Research Division: I have one for Chase and one for David. Chase, you mentioned the strength of FX, which -- a lot of the hit shows you guys have. You also have some of these shows on Netflix. And I wonder if you think having a Netflix is a benefit to the network, and would you keep them on there and help the network? Or at some point, do you put them behind or garden and drive more value that way? So how do you think about your FX hits and how they've gone to the web?
Chase Carey: You want to ask both questions or only one?
Michael Nathanson - Nomura Securities Co. Ltd., Research Division: Yes, the second one is can you give us a sense for both you guys on startup costs associated with Fox Sports 1 and FXX in the first year, so any additional costs as you think about next year?
Chase Carey: I think in terms of Netflix, we've been -- certainly, it's been an important addition to our business, but I think we've been very thoughtful and very careful about sort of making sure we establish sort of appropriate parameters, I guess, following rules around how we window the products, to make sure every business is able to continue to grow profitability, successfully, whether it's content creation business or the network business. And I think at some point, the proof continues to be there in the pudding. Certainly, FX kind of has been -- has really just gotten stronger and stronger since going on through the year. I think we continue to monitor -- in all of these digital -- Netflix, all these digital outlets. But I think the availability of product in -- on the Netflix is really in a time frame that is very different than that on FX, and we think gives FX plenty of room to continue to grow and differentiate itself and continue to excite customers with that product. In some ways, you get the library experience through Netflix, so -- and I don't think it's that -- it's sort of the next-generation of windowing that has existed in this business throughout. I think we'll continue to monitor. We'll continue to evaluate. We'll continue to make sure each of our businesses can grow and grow in a healthy way as these digital platforms emerge. But I think we feel pretty comfortable with sort of how we've approached it today. We have a lot of flexibility in our agreements. And these digital platforms give us a great deal of flexibility to control what product we put in and flexibility in determining what the appropriate windows or times that we want to do so. So again, I think we feel pretty comfortable with that. I think in terms of the second question, the sort of accumulation, I guess, of sort of FS 1, I mean, we clearly have a number of initiatives going on right now. We do think, and we've said, we can manage these in the context of maintaining short-term, solid profit growth. I'd say between FXX, FS 1, the international networks, we're launching up next year probably looking sort of a couple hundred million and change to grow those out. We do think in sort of that 3-, 5-year timeframe, those differences become profitable, actually become profitable at a rate that on an annual basis, we will see what we put into those investments and obviously, for that valuation, that would be an asset valuation that would be significantly higher. So we think that's the right way for us to approach it. As I said at the opening comments, we think it's appropriate for us to balance both the healthy short-term and long-term story. Our priority ultimately at the end of the day is building long-term cash flow and value. And we want to build businesses, not buy businesses. That's what we're doing in this case. And we have some unique opportunities and we think these are all going to be exciting business and again, we can manage that investment and maintain the type of solid short-term growth that we'd like to do so, that we'd like to do.
Operator: Next question from the line of Jessica Reif Cohen of Bank of America.
Jessica Reif Cohen - BofA Merrill Lynch, Research Division: I guess, whoever wants to answer, but 2 questions also. You have very valuable real estate, which you're starting to monetize first with Fox Sports 1 and FXX. Just wondering if you would comment on the potential for any other undermonetized or underutilized networks to be converted? And would you think about the upside in Cable Networks over the next few years? Is it -- or maybe for the 21st Century Fox company, is -- I don't know if we're [ph] working, but what is -- is the biggest driver sports and non-fiction or is it something else? And the second question is, I was hoping somebody would comment on 21st Century Fox, what your balance sheet objectives will be and how you guys are going to think about capital returns versus acquisitions.
Chase Carey: Yes. I mean I think in the short term, I mean, we've actually I think I would say our short-term focus is really executing I think, well, it could be opportunistic, but I think our short-term focus in terms of your question are the rather underdeveloped franchises we can build on. I think, realistically, our short-term focus will be to take the ones we've got and really, the next year or 2 get them to where they should be. Yes, again, I -- if we see something, I think we always want to be opportunistic, but we -- the timing was such that we had a number of opportunities to take advantage of some of that timing of rights, some of that's a timing of when our agreements come up with the distributors so -- and some of that was opportunistic in the international market. So I think with the combination of, I think, international and what we've done, I think the focus will really be in the very short term, getting those businesses to where we want them today. And we feel great about that path we're on. I think in general, we'll continue to look at the franchise we have, again, I do you're in a period where it's important that you -- you do have somewhat of a shifting from sort of quantity to quality. So I think we want to make -- we really want to build every network to a place where it can carry its own weight and really, be an important network. Some are narrower than others; that doesn't mean every network appeal to the same breadth of audience. But we think it's very important to have networks that really can each -- they may have [ph] a growth period, so clearly, any network has to get up to speed, any new network. But, I mean, some will get there faster than others, but every network is one we believe really can, as I said, I guess, if it carries its own weight in the marketplace there. And again, we're really focused on building quality networks that really can be leaders in each of the category. The value is going to be in having leading networks, hit products, what have you. I think in a fragmented, increasingly competitive world, you want to -- I think you want to focus on -- so whether, again, [ph] networks or content product that can be the best in the game. And that's what we're striving to do. I'm not going to say a lot about -- I think in the balance sheet, we are -- for the 21st Century Fox balance sheet, those are really things -- I think we're going to look to that April -- I mean, that August Investor Day. We still, again, have not put the Board in place for the company. And I think we'd look to provide, really, the appropriate visibility to -- plans for the business, operating plans for business and our priorities, but equally, on issues around the balance sheet; return of capital to shareholders and the like. We certainly plan to continue -- to finish the buyback. We thought that, as I said, it was better done, sort of, with re-energizing that post- the split. But I think clarity in terms of looking forward what are the philosophies and plans around return of capital to shareholders, whether it's dividends or buybacks, as well as plans for the business. I think we really want to do that more holistically and with the appropriate bodies in place like the Board. So I think we'll look to the August Investor Day to do that.
David F. DeVoe: Yes, surely we'll try to continue to maintain our balance sheet strength, and if we can maintain a very strong credit rating as we go forward.
Operator: Next question from the line of Doug Mitchelson of Deutsche Bank.
Douglas D. Mitchelson - Deutsche Bank AG, Research Division: One for Chase, one for Dave. Sports is obviously becoming an increasingly interesting topic for News Corp. I'm not sure how easy this is, Chase, but I was hoping you could walk through in regards to your international investments in sports content, what sports or regions you're still missing that you'd like to have? And what big items might come up for renewal soon, so we just get a sense of how investments in sports might impact international Cable Networks? And Dave, I don't know if there's any chance you can give us the revenue and cost impact for the NBA shift to the March quarter, but that would be helpful, trying to get the core Cable Network growth.
Chase Carey: Again, I'd say on the international networks, really it's probably sliced, to some degree, domestically -- I mean, internationally. I think our focus would be much more in execution than adding. I mean, I think we feel we've got now, sort of, the foundation of networks that we want. We've got sports networks in Latin America, Asia, Australia that will have obviously go with the new News Corp. Broad slots of Europe, those are more through the SKY platforms, but we are now in sports businesses through owned or affiliated companies; Germany, U.K., Italy, Netherlands. So we've got -- and obviously, then in sports businesses in the United States. So I would end up saying, geographically, we've got a portfolio that we feel very good about. And the focus would be on building -- as well as with rights. I mean, there'll be renewals that come up in the [indiscernible] report [ph] I mean, the international, in Europe, the international soccer rights, usually a 3- or 4-year deals. So they'll come around on their normal sort of rotation. And I think there are rights in Latin America, like Champions League. So I think the rights that exist come up on various rotations, some of a bit longer as cricket rights in India are a bit -- are longer than that. I think we're only in the first year of that 7-year deal there. So a maturing story, but I think we feel good about the portfolio that we have. I think we'd always, as we always look to certainty as something to make sense to add to it. But I wouldn't say today we feel we have hopes. I mean, I think we feel since we look around those various platforms, we feel we've got the rights in place. I think it's very true in the U.S. with FS 1. Essentially, we've got the rights in place to really fulfill the plans that we've got in place for FS 1 in the United States. So I think we will like -- we will be in the game for rights. And I think it's important if you're in the business to be opportunistic, but we feel pretty good about the portfolio of rights we have. Certainly, the rights we have will enable us to fulfill the plans that -- again, to fill the plans, we've got in place. We don't need to add rights to be -- to have our businesses to develop and execute on the plans we put in place for those businesses. I think I didn't ask -- to your question, let me answer Jessica's question on sort of the importance of sports. And again, I -- sports is certainly uniquely important and I think they're uniquely powerful. But realistically, really, all these -- the 4 content categories we compete in, are all important. I mean, they have to -- we've talked before -- I mean, in Fox News has been a success story, second to none and continues to get stronger. We're excited about that the business network just became profitable and I think is going to be really become a much stronger [ph] competitor in the last 12 months, so that's sort of news category, a huge category for us, an important one, and we think one that we certainly continue to grow. FX has been a great success story. Talk about its success in ratings in January with FXX and FXM, which is really the third leg on that. We've got some -- we're certainly increasing the breadth of entertainment product we're developing forward, some additional concepts in terms of mini series and the like. We've had some great successes around the world, in things like our Fox International Channels with series like Walking Dead, which has been a real driving force for them, as well as a number of other series, like The American Life that they've added to their portfolio. So sports is probably -- certainly as important as any, but we've got big businesses -- I mean, FIC, which we've talked just -- we have talked before Fox International Channels is on track to be a billion-dollar-plus business by '15, and that's essentially an entertainment channel business, so if you look at FIC, that's what it is today. It's just not -- it's not sports, it's not getting -- the fix that you're driving there is essentially -- I don't know, a big group of entertainment channels competing in the international marketplace. So I think it is -- the focus on sports should not sort of lose sight or cloud the importance of these businesses, be it entertainment and news business and other channel businesses for us.
David F. DeVoe: I think on your question on the NBA rights, it's approximately a $40 million -- $40 million to $45 million movement in the quarter. The majority of that is related to the rights as a result of lower games -- fewer games in the current quarter versus a year ago, considering all the NBA games were pushed into the third quarter as a result -- a year ago as a result of the lockout.
Douglas D. Mitchelson - Deutsche Bank AG, Research Division: That's the revenue impact?
David F. DeVoe: No, that's the overall total impact.
Operator: The next question comes from the line of Benj Swinburne of Morgan Stanley.
Benjamin Swinburne - Morgan Stanley, Research Division: I wanted to ask a question either to Chase or James about the international Television business, in particular, your Fox Sports Asia, Star Sports Asia and the EMM assets you've added recently that looked like pretty nice contributors to growth. How are you guys thinking about folding those assets into Fox International and thinking about the long-term profit potential? You've given in the past guidance, I think, about $1 billion of OI in '15, and I wanted to see how you were feeling about that number and whether these assets changed that outlook, and maybe you could add STAR to that conversation as well.
James Rupert Murdoch: Sure. Thanks, Ben. It's James here. I think -- well, first of all, as Chase said, the Fox International Channels business are kind of, what you'd call a classic business, before we started some of these sports investments over the last 2 years, is well on track towards that target, you mentioned of $1 billion of profit in 2015, and we feel pretty confident about that. Even though there's ups and downs in different markets, I think the team is pretty confident about that. The 3 -- the sort of 3 main areas have been in terms of expanding the sports portfolio around those channels has really been Latin America with the acquisition last year of the balance of the Fox Pan-America Sports business. Obviously, EMM in Europe and then as you mentioned the Asian -- the acquisition of ESPN share in the ESPN Star Sports. And right now, it's -- for the Asian business, the team is very busy kind of integrating the operations of that business. It's -- ESPN Star Sports in Singapore is a sizable business spread across the region and we want to align it more closely with the channels in India, at STAR as well as the Fox International Channels across the rest of Asia, to distribute those channels together to really use the promotional capability and really, have a stronger overall portfolio in those markets and to be more balanced with respect to entertainment and sports to, hopefully, bring something that really matters to customers in a big way in some fast-growing places as we've done in Latin America as well. In terms of targets, I think, as Chase mentioned earlier, there is an impact of the increased investment in sports. For sure, I think in particular, we see that in addition to the U.S., but in India with the BCCI and the consolidation of some of the -- kind of the lumpier rights costs that are mostly cricket rights in India. And that will impact the short-term overall profitability in India, but I think puts us on track to substantially greater profitability within the 3- to 5-year time frame. And in Asia and -- and the rest of Asia and Latin America, we think it enhances the profitability within the '15 target, I think we will be better and ongoing. So it's a really positive move. It's a lot of work right now, but it really transforms the scale of those businesses.
Operator: And the next question comes from the line of David Bank of RBC Capital Markets.
David Bank - RBC Capital Markets, LLC, Research Division: I hate to do this but I'm going to take another pass at Mike's first question, which is if you look at -- to understand the long-term value proposition of the new platforms you've you created, I think you've done a great job articulating them, but if we look at the first year from a practical perspective, and we lump the incremental cost into 2 buckets, sort of promotional marketing launch cost and programming cost, could you give us a ballpark sense of what the incremental is, the launch cost and the programming cost in year one? And second question is, Chase, if you look at where kind of Hulu is today versus what you'd like to see it be, if it executed on its current business plan over the next couple of years, what do you see it being 3 years from now? If it's successful in its current business plan?
Chase Carey: Sure, Dave. One of the -- on the new networks, I'm going to -- again what I -- given what I said, and I guess I'll sort of repeat is domestic and internationally, I think as we look at the next fiscal year, I mean, and we'll give more visibility to this at the Investor Day. But [indiscernible] a little bits and pieces, but I think...
David Bank - RBC Capital Markets, LLC, Research Division: [indiscernible] FXX, really, specific to FXX and FS 1?
Chase Carey: Yes, I don't we have anything -- and I think, we're breaking those things down in pieces. Again, I think we'll probably provide that type of visibility more holistically at the Investor Day. And again, we're making investments, we think that's been our plan all along to make short-term investments that we can absorb while maintaining a solid growth rate in the overall business. As I said, I think as we look at the next fiscal '14, it's probably a couple hundred million in change that will go into those. But I think providing more clarity in, I think, is probably the -- to do it -- is to do it appropriately. I think we'll reserve and do it more fully at -- in early August. In...
Unknown Executive: Hulu.
Chase Carey: So Hulu. Look, Hulu, for us, in many ways I think it's the true only-digital platforms. They're a work in progress. Hulu has got great momentum. I think we're particularly excited about the subscription size of Hulu and the growth, I mean, I know they talked about it in the last week or whatever they had in their upfront. We think those dual revenue business models are ones that really the heart of creating success. So, one, I think there's an important role for Hulu classic in that marketplace. But I think the definition of what the product is that goes into that, what windows and the like is something we're continuing to stay actively discuss with our partners in it. I think this digital space will continue to grow but continue to ebb and flow, and I think we clearly have a leading franchise with Hulu. And my guess is Hulu will -- I mean, if you go out a few years, Hulu is probably going to look a bit different than it does today just because think -- even with something like -- Netflix recently talks about sort of evolving their business to slightly different to somewhat different business model. I think that's something we need to decide with our partners, to sort of where the directions we want to shift it, but I think it will continue to evolve as we go forward. But at its core, I think the most exciting part of it is really to develop that dual revenue side of it, take advantage of what Hulu's real leadership position, I think, in providing viewers the opportunity to access sort of more current products in a way that -- to add to dimension to their viewing experience today with selective original and other unique product that we can add to it. But I think it's essentially an opportunity for us to build the business that -- to take advantage of its leadership position in digital space and build a business that, we think, adds new dimension to the businesses we have today.
Operator: And the next question comes from the line of Richard Greenfield of BTIG.
Richard Greenfield - BTIG, LLC, Research Division: Your core cable network business has been vibrant. You're actively expanding it in the sports category and kind of live that you talked about. But broadcast TV is, Chase, as you touched on, really is struggling. And this isn't just a FOX, it seems to be kind of industry-wide with ratings under some pretty serious pressure. And you, all and others are doing a great job of driving retrans to stem the decline, but we keep seeing kind of lower viewership across the board. You're seeing more people skipping commercials with DVRs and using SVOD like Netflix has -- was discussed earlier. And just when you start to see cable shows regularly beating broadcast shows, from your own networks, as well as some other people's cable networks, what is the right strategy for broadcast networks and station groups as you look out over the next few years? Like how do you reposition this going forward?
Chase Carey: Look, I think there's no question; it's not been great year for the Broadcast business overall, just from a content creative perspective. But yes, I don't think -- I think you've got to take a step back and STAR, you've got to recognize these -- certainly, FOX -- I really think it's still the 4 broadcast networks are still the dominant form of events Television today by multiples. I mean, yes, there are select shows and the world's going to keep fragmenting. And there are shows that show up here and there, but if you really take a step back and say where do most of these sort of -- who are the still the viewership leaders by a wide margin in aggregate? Where does most of the events Television sort of reside that really drives business today? It is in broadcast Television. I think we have to -- I think we probably have to continue to figure out in the -- in the script today, sort of in the entertainment side, how do we compete effectively and have -- where people have more and more choices. I think they're [ph] being discussed, as you've thought about it before, if world has started creating 100 titles for us, 4 networks, and throwing all these series on -- is that the right way and do you need to sort of be a bit more targeted in the types of series do you believe it and invest deeper, than certainly the cable industry does, is take fewer vest [ph] , invest deeper and bigger in those vests [ph] to create series. The network, I think, are starting to have been a bit more about volume gain, probably a little bit more still stuck in sort of historical practices of [ph] everything goes into September everything wraps [up in May. And do you need to break some of those rules? And I think the answer is clearly yes, but these are great platforms, these are platforms that still they cannot drive the marketplace to create -- when you talk about sort of -- what is the product that whether it's sports, events, entertainment, that half hours, hours, what is the product that drives this marketplace? It's still the product business as far as performance to -- kind of close the network Television, network Television. That being said there's no question there are going to be more virtualized systems, choices and people are going to continue to find those choices. But I think in some ways, for the networks to compete, what they need to do is probably to discard a few rules that the business has continued -- sort of the old habit and rules and probably, take some shots that I think, hopefully, next week will be the start of that for us as we launch, and we're excited about schedule putting out there next week. And we think we're going to -- we think it's important for us to start to try to -- beginning to -- I mean, not that we haven't done this in places, but I think to get -- compete in different ways and try to do some different things that can really excite the marketplace and we think there are real opportunities to do it. This broadcast network continues to be a platform second to none in terms of its strength of distribution, brands and relationship with consumers.
Operator: And the next question comes from the line of Todd Juenger of Sanford Bernstein.
Todd Juenger - Sanford C. Bernstein & Co., LLC., Research Division: I got another one on FS 1 and FXX, I think it's the new one and I think you might be able to add some color. I want to talk a little bit about from the distribution side, I mean obviously you needed consent from your distribution partners for these conversions. I think you did, especially at FXX, which is a pretty big format change. So I guess I'm just wondering if there's any -- I guess, you got that consent, by the way, because it sounds like you have launch dates. So I'm wondering if there's any quid pro quo around getting that approval. I mean, especially if they were off-cycle, you needed them to do something for you and I wonder if they used that to inject discussions about future timing or magnitude or increases in fees, anything you could make on that is one. And then the other, just a quick comment would be great on home video, you cited home video several times in the release and then your comments says -- sounding like a good guy for the quarter, just wondering, would you -- is it fair to say that revenue was up year-over-year in home video and -- it sounds like, and then so, how much of that was specific releases? Or do you think that's emblematic of the entire market? And if so, how was that shaping out between the purchase and rental and different platforms?
Chase Carey: Yes. I think on the distribution side of each channel, I mean, I'm going to get too deep into our sort of relationships with the distributors. We're quite comfortable from where we are and the plans we got in place and the strength of the networks we're putting forth and our ability to achieve the plans we've set out there and -- but essentially, as to specific terms in relation to any distribution agreement, I think those are things that exist between us and our distribution partners. On the...
Unknown Executive: One second, [indiscernible] information in a bit.
Chase Carey: On home video, yes, I think home video has got some nice momentum and it will be up -- I mean, markets up -- yes, I think market's up this quarter. I think that was something like 5% and we're up a bit more than that. Really, in -- the real driving force of it is digital, which is recently getting some traction in these business platforms, both rental and sell-through. And we've tried a number of initiatives. We have this premium pre-DVD releases that's been a real success for us, continues to grow. I think the overall marketplace continues to grow really well. And I think you see the digital becoming an increasing -- a growing percentage of what we do. The DVD side of it is stabilized to sort of Blu-ray, offsetting the decline in the older format. And I think some of the areas that we didn't like, low-price, really low-priced discount rentals sort of becoming less of a force, and I think the attractiveness of digital is really catching on. More people, being aware of it, I think we have a big -- better job marketing it. And I think we're excited that you can add to your, obviously, a period of a couple of years where you were sort of digesting a real sort of reselling of the home entertainment business as it -- as the DVD matured, that I think you've got some growth that we -- I don't think it's going to explode in the next few years, but I think we got some -- yes, some nice healthy growth through that business that is really led by an increased usage, awareness, marketing, better product availabilities in both rental and sell-through on the digital setting.
Operator: Okay. And the next question comes from the line of Marci Ryvicker of Wells Fargo.
Marci Ryvicker - Wells Fargo Securities, LLC, Research Division: Chase, you've talked about FOX broadcast potentially going to potentially to a pay-TV model in response to area, so 2 questions I have. First of all, would FOX lose money at least initially in moving to this model? And then secondly, would you consider divesting your TV station portfolio at that point?
Chase Carey: I think it's getting -- I mean, getting further down the road and again, I think the point we tried -- the point we're making is the Broadcast business to be a healthy business and to be one that's able to deliver the type of quality entertainment and events it has, needs to be a dual revenue business and if it became an ad-supported only business, it really would not be able to compete effectively, as it's now able to do. And I think it's -- in the past, when it was -- when it wasn't a dual revenue business, one of the reasons why you saw product sort of moving continuously from broadcast to cable. And that, in many ways is our point -- we're -- I'm not going to get into the legal issues that we're currently engaged in because, again, we should deal with them in the appropriate forum. But that's the point. We'd like -- we believe we're in the legal rights. We're going to pursue our rights, I don't think getting into hypotheticals and is really, at this point, constructive. We like the broadcast model as long our rights are respected and which essentially means those third-parties, who want to redistribute our product, pay us a fair value. So as part of that, individual consumers that want to access it directly can do so. And with that model, we think we can continue to build product broadcast as sort of centerpiece of our overall networks business. And that's the path we'd like to pursue. We like the Broadcast business so long it's one that we can get fairly compensated for the products we invest in and the network that we built, that's the path we'd want to pursue. But there are, again, the point we've made [ph] , there are other paths. If eventually revenue stream is not available down the road, there are other paths we can pursue that we think lead us still to a very profitable business. But our choice would be to continue to build the business and potentially, as you know, today from consumers.
Operator: Okay. And the next question comes from the line of Barton Crockett of Lazard Capital Markets.
Barton E. Crockett - Lazard Capital Markets LLC, Research Division: Okay, great. I wanted to ask a little bit about ad trends, given what was coming on the upfront. I was wondering if you could update us on what you're seeing in scatter -- relative to upfront pricing? And also on the domestic cable-front, I mean you have the tough comp 2% growth because of the political comps that Fox Sports and the RSN comps, I was wondering if you could give us any color on whether we see more comp issues over the next couple of quarters as we cycle through the year.
Chase Carey: Yes, I mean on the upfront, I mean, right now we actually have a very healthy scatter market. And scatter market is probably up mid-double digits, not better [ph] probably that. So I'm not going to get -- some of my colleagues like to make predictions. I'm not going to get into prediction business. But I guess, if you look at the ones you look at, you've got a very healthy scatter market there and you have a pretty decent scatter market throughout. And I think, again, that always certainly comes into light of how much did -- appears and what happened. Therefore, that's the upfront market versus waiting for the scatter market -- buying into the scatter market. But today, you'd certainly say it is -- the market has gotten a bit stronger and in recent weeks so it's got some nice momentum to it. I think in terms of the cable network, I think Dave touched on it, I mean it really is sort of bit of a mixed bag on the advertising side. Actually, FX and Nat Geo were very strong, getting strong and even strong double digits, it's just -- the news business has got, which is the reality of the news business, the headwinds of the political comps. You had, again, the big presidential year, election year last year and you're not going to have that spending again. And clearly, the news network is -- it didn't make the money that, more than any -- more than our other businesses, some of the [indiscernible] , some in the local station markets in certain places. But to that end and the event in the RSNs. So the RSNs has a number of quite large, I think it's close to 100 games or something less. And there are a couple of rights that aren't there anymore. We had the Lakers year, going out with [ph] the Lakers this year, so there's also some -- and [indiscernible] it will be handful of reasons, but the RSNs and news have tougher comps again for politicals, gains and a couple of rights that we don't have in the flip side of things, National Geographic and FX have really been quite strong.
Operator: And the next question comes from the line of Adam Alexander of Goldman Sachs.
Adam Alexander - Goldman Sachs Group Inc., Research Division: Chase, I just had a question specifically on Fox News. It seems to be a bit of a tough quarter even taking into consideration the comp, and with channel feeding some shares to competitors, which is the first time we've seen that in a while, I just want to get your view on that and perhaps, procedures you've got in place to turn that around?
Chase Carey: I mean, I against it all. With all respect, I would disagree with the characterization of M&A. We could always have events that change, whether it's certain events, some do better with -- and they tend to hurt when you get to certain events -- some type events that certain networks become the short-term beneficiary, but I think that should ebb and flow and timing of the business, I -- look, I mean, I think Fox News is -- I think, continues to just -- I'll use the phrase I used before, be a juggernaut. I can't think of anything, just finished, [indiscernible] #2 network overall and the Television, and I think -- I can't remember which one of that, TNT or USA or somebody was behind, but was #2 overall. It's, I guess, you want to take a short enough time period, we can always talk to you -- we're always planning [indiscernible] a week, probably where it's nothing compared well, but I think in any sort of form of measurements that sort of take those short-term variability, the lesser short-term variability out of it, I think Fox Sports, Fox News just continues to be in a class by itself.
Operator: And then the final question comes from the line of Tim Nollen of Macquarie.
Tim Nollen - Macquarie Research: It's a little different from all the others preceding. It's actually about the Amplify education business, an asset that you're clearly betting on would be a good grower. I would say there's a lot of unknowns as to market size and growth, and it's looking like a very lengthy gestation period for the education business. My question is really why you think the education market is so attractive? Do you see yourselves more as disruptors to traditional content providers? Or do you see new markets emerging with the tech and data services, or is it both?
Chase Carey: Sure. I mean, sure as they say, we're pretty much on the plans that we laid out. So I think we've been clear with this. This is something that's going to take time. So the -- and you're right, right now, we are certainly engaging. We're starting to deploy some of the products, the business we bought in Wireless Generation certainly continues to grow its core business. But that being said, we are a largely in investment phase and build phase. But I'd say we're very much on the plan we laid out, so it's not -- and from a timing perspective we're up -- sort of timeframe perspective, where we expect it. We are clearly a disruptor in this, there's no 2 ways about it. That is the core, the heart of the strategy of what we're pursuing is a view that the education, the K-12 education business in this country as well as elsewhere for that matter, is really probably one of the, if not the last business that is sort of left out of the digital revolution. And you've got industry after industry that has been turned its head [ph] and thinking we haven't had very various factors to take advantage of these digital technologies to develop much better products, much better experiences, much more efficient experiences and the like, and we think K-12 education is incredibly ripe for that type of disruption to take advantage of technology to deliver a much richer and much more efficient experience to the marketplace and students. And with additional pressures coming on the cost of budget issues you've got in this country, national, state, local levels, to finalize to deliver as you can, to deliver a quality education experience, and I think everybody says that is a priority set on [ph] for this country that deliver a quality education experience, but to do so in a way that is manageable within in today's economic realities. And I think the answer to that is using technology and, specifically, digital technology, to deliver that experience and you can deliver, again, a much richer way. I think all of us can sit there and imagine how on the tablet, you could have that type of real-time interaction with teachers, peers, programs developed and tailored to students' availability. It doesn't take a lot of -- it doesn't take a big leap of faith to imagine why a really vibrant digital technology -- and not just taking old printed stuff and sticking it on a digital device, but really developing curriculums that are built for -- to take advantage of these digital technologies is really where the education world has to go. So that's a long-winded answer saying, yes, it is completely on that one, disruption with, again, when the time is right, with the pressure in education and the need to find certain solutions sort of that make sense for today's world to meet the needs of that quality education.
Reed Nolte: Well, thanks, Tim, and thank you everybody for joining today's call. Please feel free to call me or Joe Dorrego in New York if you have any further questions.
Operator: Okay. Thank you. And ladies and gentlemen, this conference will be made available for replay after 6:45 p.m. today through May 18, 2013. You may access the AT&T Executive Replay System at any time by dialing 1 (800) 475-6701 entering the access code 288047. International participants dial (320) 365-3844, and again that access is 288047. And that does conclude our conference for today. Thank you for your participation and for using AT&T Executive TeleConference Service. You may now disconnect.